Operator: Good morning and welcome to the Allegheny Technologies First Quarter 2020 Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded.I would now like to turn the conference over to Scott Minder. Please go ahead.
Scott Minder: Thank you, Chad. Good morning and welcome to the Allegheny Technologies first quarter 2020 conference call. This call is being broadcast on our website at ATImetals.com.Participating in the call today are Bob Wetherbee, President and Chief Executive Officer; and Don Newman, Senior Vice President and Chief Financial Officer. If you’ve connected to this call via the Internet, you should see slides on your screen. For those of you who dialed in, slides are available on our website.After our prepared remarks, we will open the line for questions. During the Q&A session, please limit yourself to 2 questions. We will attempt to get to everyone in the queue within the allotted call time. Please note that all forward-looking statements are subjects to various assumptions and caveats as noted in the earnings release and shown on this slide.Now, I’d like to turn the call over to Bob.
Robert Wetherbee: Thanks, Scott. Good morning and thank you for joining us today to discuss our first quarter results and 2020 outlook. I hope today we’re finding all of you in good health. These are unprecedented challenging times for all. After the current market conditions, a lot has been written and there is not much more I can add. So we’ve seen a dramatic change in a very short period of time.As we share our results and outlook today, I want to be clear that the crisis is in the global economy and our strategic markets. The crisis is not inside ATI. We see the challenge ahead of us and are taking the actions necessary to keep our employees safe and healthy, and to enhance – yes, enhance the solid foundation to ensure ample liquidity, future profitability and growth.My leadership team and I are confident in our ability to do that, because of our relentless innovative people. They are all in to do what’s necessary to emerge stronger from the actions we take and the experience we gain from this crisis.I want to start today with a heartfelt thank you to the people of ATI. The last 10 weeks have tested us, across our global organization as never before. First, our operational teams, all deemed essential operations based on the product supplied, have not missed a beat; stress and concern, yeah, of course; total commitment to keeping their people safe and our materials flowing, absolutely impressive.Our Asian team was the first to experience the COVID-19 challenge, found the appropriate methods to continue to work safely and return to work. And they share their experience with their global teammates for the benefit of us all.Our digital technology team acted quickly to provide highly reliable, highly secure, remote access for close to 1,000 employees, almost 15% of our global workforce in less than a week. Job well done.Our leaders across the organization are doing extraordinary things in an extraordinary time. Leadership is not a job creator of title, it’s a role. And in these challenging times, our leaders stepped up and continue to step up.So thank you to our operators and staff who have adapted to the new reality to keep themselves and their coworkers safe, as they supply our customers who count on our essential materials. I’m proud of our people, every one of them doing the right things, the right way, at the right time, in a world of frenetic change and new operating norms. So to the ATI team and all those supporting them, thank you.Creating shareholder value in the near-term will be directly related to the effectiveness of our leadership and the quality of our team. I’m confident that we’ll deliver and emerge as a stronger company.So moving to the next slide, over the last few weeks, as the reality of the situation has evolved, we’ve quickly and decisively adjusted our priorities. We’ve taken action to preserve cash and maintain ample liquidity. 2 key elements of that are optimizing our cost structure to match the change demand expectations and supporting our customers through continued strong execution.While driving for cash efficiency in the short term, when the time comes, we’ll be recovery ready. And along the way, we’ll be leveraging the recently won market share gains to accelerate our growth and the recovery. It’s important for all of us to understand what we’re doing to support our customers and optimize our cost structure.After I’ve done that, I’m going to turn it over to Dan who will discuss our liquidity position, his perspectives on the business, and the full-year outlook. So let’s move to what we’re doing or have already done to reduce costs.As of May, our Board, my direct leadership team and I have reduced our base salaries by 20% for at least the next 12 months. The vast majority of ATI staff are taking a base salary reduction as well. We’re using a sliding scale, but the average reduction will be near 12%. Over the last 3 months, we’ve announced actions to permanently reduce our overhead structure. More recently, we’re actively adjusting staffing levels in our operations based on the specific needs of each business, some through temporary or rolling idlings, some through indefinite furlough, some through layoff.Our corporate teams are adjusting to focus on truly essential functions. And we’re reducing and/or deferring our 401(k) benefits for participating employees. Since early March, we’ve identified and have deployed to capture between $110 million and $135 million in incremental cost reductions in 2020.In addition, we’re significantly curtailing capital expenditures and reducing inventories. All hands are focused on preserving cash and maintaining ample liquidity. Through these actions, thoughtfully and quickly deployed, we’re ensuring production capabilities for our customers, preserving jobs for our employees, and maintaining our strong balance sheet. We will be recovery and growth ready when the opportunity arises.Let’s turn to Slide 5. As we announced earlier this year, we realigned our business segments to further enhance our position as a leader in material science and to create opportunities to accelerate sustainable long-term profitable growth, all in the pursuit of increased shareholder value.The streamlined high-performance materials and components or HPMC segment is made up of our specialty materials business, located largely in the Carolinas, and our advanced forging business located primarily in Milwaukee, Wisconsin, and Irvine, California. The new HPMC structure brings increased focus on 3 things: material pull-through growth opportunities; synchronized response to changing customer demand signals; and acceleration of material flow between the 2 business units.The segment’s business is largely covered under long-term agreements, ranging from 5 years to life of engine program, most of which, as we’ve talked to you about it over successive calls have been renewed and expanded within the last 18 months. The segment is focused on profitably executing recent share gains and margin expansion, starting with additional production in late 2020 and continuing over the next several years.We’re leveraging capacity to expand into new products and customers, closely aligned with our existing capabilities. The newly created Advanced Alloys & Solutions segment or AA&S combines the prior flat-rolled products segment with the specialty alloys and components business based in Oregon, and the aerospace titanium plate product lines, both previously part of the HPMC segment.AA&S combines all of ATI’s flat products and creates opportunities to produce materials more cost efficiently and more effectively, by better leveraging ATI’s world-class asset base and broad capabilities. The realignment opens up sheet and strip capacity over time to produce additional high-value advanced alloy products. Materials such as titanium, zirconium, hafnium, niobium, and tantalum, all destined largely for ATI’s strategic markets.And currently, we continue to deemphasize standard value stainless products as new more value added opportunities are captured. As part of the realignment, and as I mentioned earlier, we announced 2 restructuring actions, one in the fourth quarter of 2019, and one recently in the first quarter of 2020 to primarily capture back office synergies. Once fully implemented, the combined programs will generate about $14 million of annual benefit. Together, the new segment structure is designed to deliver the optimal combination of growth and profitability, and the team did a great job making it happen on January 1.So let’s talk about what we’re seeing in our core markets. Although today’s global macroeconomic backdrop as universally understood to be weak due to the impact from COVID-19, and I think it’s going to be helpful to provide a quick update on each of our strategic end markets and those that demand diversified applications and leverage our strength in material science each has a different outlook predicated on their respective drivers. While it’s easy to focus today on the negatives in this environment, there are several positive items to note.ATI’s defense business is strong, diversified and growing. We produce materials that help power the nuclear Navy, manufactured parts for military aircraft, both fixed-wing and rotorcraft, as well as titanium armor for land-based vehicles and materials for missile systems.We saw first quarter year-over-year growth driven by increased demand for our materials and components, produced for naval applications and various missile systems. We expect continued stability in our defense market sales throughout 2020 and have a strong backlog across ATI.Our precision rolled strip business in China, known as STAL, resumed operations in late February and produce year-over-year revenue and operating profit growth in the first quarter, quite an accomplishment given the economic changes that have gone on in China and Asia.Looking ahead, we expect consumer electronics demand to be relatively soft in the second quarter that ramp up in the second half of the year as customers across Asia begin producing devices and advanced televisions for the year-end holiday sales.In the medical market, first quarter decreases were more significant largely due to OEM inventory management actions. These stem from diminished demand for elective surgeries and diagnostic procedures globally. Medical market demand is expected to improve from weak first quarter levels with the resurgence of elective surgeries. A return to stability in the global healthcare system will be important to that recovery.Moving to aerospace. I am not going to repeat what our major airframe and engine customers reported last week. I will say we’re better connected with them and their supply chain partners than ever. We’re using that connection to quickly adjust our upstream operations to reduce the potential for slow moving inventory and align our growing to match the reality of demand.In the first quarter results were generally in line with expectations in January and February. We began to see deterioration towards the tail end of March and as a partial offset to the first quarter’s evolving aerospace market weakness, we benefitted from increased advanced forging volumes for a large jet engine OEM who took cash management actions in the second half of 2019.Looking ahead, we expect our commercial aerospace shipments to continue to decline significantly and steadily throughout 2020. Stabilizing in 2021, and we expect to start to see recovery in 2022, getting back closer to 2019 narrow-body levels in late 2023, early 2024 and consistent with other guidance.At the same time, we are focused on executing on recent market share gains with new contractual share and pricing levels beginning in January 2021. This meaningful and accretive business increases stretch across our aerospace portfolio and include late 2020 deliveries to support ATI’s new multiyear titanium mill products contract with a major aerospace OEM customer.As to the energy market, which combines oil and gas, hydrocarbon and chemical processing, electrical energy generation and various other submarkets, sales increased in the first quarter versus prior year. Growth was largely due to increased demand for high value nickel plate products destined for offshore pipeline projects, requiring highly corrosive resistant materials.Energy demand is predicted to remain soft due to overall lack of consumer activity and looking ahead of oil prices are expected to remain low due to ongoing oversupply issues, suppressing exploration and production activities. On the positive side, we expect a large – a few large government-backed pipeline projects requiring high value nickel alloy materials to be awarded in the second half of 2020 with the majority of revenues falling into 2021.Additionally, there are several smaller portions of our energy markets that are seeing relative demand stability including materials for man-based gas turbines, civilian nuclear refueling and pollution control for coal-fired power plants.With that, I’ll turn the call over to Don to share his insights on our business, our first quarter results and our outlook for the balance of the year. I’ll be back to offer final thoughts before we open the line for your questions.
Don Newman: All right. Thanks, Bob. Before I dive into Q1 results, Bob laid out our priorities. In addition to aligning with our customers and protecting our employees, maintaining a healthy financial position despite end market headwinds is front and center in terms of priority. Fortunately, we are starting from a strong position with ample liquidity and a strong balance sheet, and we’re taking actions to protect and even improve that position.With that, turning to Slide 6, you can see that ATI generated solid first quarter results, despite significant global demand disruptions. First quarter 2020 revenues were in line with prior year, excluding divested businesses. Net income and earnings per share both increased by significant percentages year-over-year, largely driven by gains in the AA&S segment. This improvement was despite a higher than anticipated book income tax rate, up from 5% in 2019 to 31% in 2020, due largely to the release of tax asset valuation reserves in late 2019.On a segment basis, adjusted EPS revenues declined year-over-year primarily due to demand related slowdowns for our specialty metals late in the quarter as the impact of 737 MAX production stoppages and the COVID 2019 pandemic began to build. Forgings demand decreased modestly in aggregate with lower hot-die and conventional forgings, partially offset by increased isothermal forgings volumes due to the recovery of delayed units caused by a large OEM 2019 inventory management action.HPMC operating profits increased despite a revenue decline, largely due to favorable product mix generated by increased isothermal forgings and associated powder material pull-through. Additionally, segment expenses were lower as the business moved to reduce costs in the second half of the quarter.AA&S segment revenues increased year-over-year across all business units, led by specialty rolled products, principally due to higher HRPF conversion volumes and increased high value nickel product sales to energy markets for the completion of oil and gas projects. Standard stainless products demand grew in the first half of the quarter, but tapered off in March response to the shelter-in-place orders issued around the U.S.AA&S operating profits increased substantially versus a relatively weak prior year period, including year-over-year growth in STAL, despite negative COVID-19 impact. Sales of high value advanced alloy materials increased primarily for defense and energy applications, while higher HRPF conversion and standard stainless volumes, provided increased cost absorption benefits. Metal prices were a tailwind in the quarter versus 2019. While most of the operations ran at a more normalized rate in January and February, demand weakness became more pronounced in March and accelerated in April.We work collaboratively with our customers to build a realistic view of near-term demand and have taken significant actions to align our cost structure with our current forecast, recognizing that these are likely to change in this dynamic environment.In HPMC, we idled 2 smaller powder plants located in Pennsylvania in March, and consolidated orders were possible into our Bakers Powder operation. In the month of April, we idled several of our specialty materials facilities in the Carolinas, as well as our forging facilities in Wisconsin, each for 1 to 2 weeks to address reduced demand levels.On the AA&S side, our facilities in Oregon continue to be well utilized serving the defense, medical and energy markets. In our specialty rolled and standard stainless products businesses, we’ve taken a number of weeklong plant outages in April and early May, across our network to reduce costs and align inventory levels to better match demand, particularly for products with relatively short lead times. Additionally, we’ve announced the indefinite idling of the A&T Stainless JVs Midland, Pennsylvania facility this summer, due to the negative ongoing impact of Section 232 tariffs.We’ve quickly pivoted to the rapid changes in demand, and we’ll continue to adapt as necessary. First, we’re managing our production capacity tightly and staying in sync with our current view of demand. Second, we’re reducing costs to ensure cost structures are efficient and aligned to demand. This is not a new effort, but the rapid change in demand required a swift and disciplined response. We have identified and are executing more than $100 million of cost takeouts to improve profitability in the short-term. And we believe we can keep a good amount of those 2020 reductions out of the business in the longer term.Finally, in 2019, we worked down inventory levels as part of improving our managed working capital levels. We’re using those capabilities in 2020 to significantly reduce inventory levels, generate additional liquidity and ensure that we don’t produce inventory ahead of demand. While these tough but necessary actions are not completely offset, will not completely offset the loss in demand, they will help preserve liquidity, reduce costs and maintain value for our shareholders.Let’s turn to Slide 8 for a look at the balance sheet, cash flows and current liquidity. We’ve taken numerous actions over the past several years to strengthen our balance sheet. Those efforts are evident today in our cash balances, our capital structure, and our access to committed debt capacity as well as our ability to easily access credit markets. Bolstered by our 2019 asset sales, we ended the quarter with nearly $640 million of cash on the balance sheet, in part due to our borrowing $300 million under the revolving portion of our ABL facility.In April, we repaid the $300 million in full. While these funds were clearly not required to run the business, significant debt market uncertainty existed prior to the Fed’s March actions to shore up U.S. credit markets. We acted because we saw the potential for large scale credit market disruptions, and we’re thankful that this capital market uncertainty has now diminished. As part of our normal seasonal cash patterns, we used $115 million of cash in our operations for the first quarter, that’s in line with our expectations.In contrast, we expect to generate cash from operations in the second quarter, largely driven by reduced inventories and accounts receivable associated with the activity downturn and robust management actions. Capital spending for the first quarter totaled $29 million, well below the anticipated run rate, as we began to curtail non-essential projects in the second half of the quarter.Turning to our capital structure, ATI has no near-term debt maturities. We use the proceeds from an 8-year $350 million unsecured debt offering in December 2019, and cash on hand to redeem our $500 million notes that were previously due in early 2021, and capturing interest rates on the new debt below 6% and a credit rating upgrade.ATI maintains ample liquidity options, in large part due to actions taken in 2019 to expand and extend our ABL facility. First, we have the option to draw $100 million on a new delayed draw term loan by the end of June 2020. If drawn, these funds are due concurrently with the ABL in late 2024. Additionally, we have access to a $500 million undrawn revolver. ABL facility provides flexible access to low cost, committed capital with minimal covenants, and we maintain a supportive and active relationship with the members of our ABL Bank Group.We’re living in a dynamic world impacted by a variety of demand factors. We’ll continue to be prudent with our cash and ensure that we have ample liquidity, should the current market downturn accelerate, linger longer than expected or if protracted deterioration in credit markets materialize. We will expect the best, but prepare for the worst.Now let’s turn to Slide 9 and talk about Q2 and 2020 expectations. We began 2020 with confidence in our ability to predict full year earnings and free cash flows under a few key assumptions. In just a few months, with the rapid deterioration in global economic activity and uncertainty surrounding the depth of the decline, and a subsequent pace of the recovery of key end markets, each of those key assumptions has been significantly altered.As a result, we’re withdrawing our 2024 full year EPS guidance. However, we feel that it’s important to update you on what we know today, and what we believe we can accurately predict. In terms of aerospace and overall demand, I won’t repeat the trends that Bob shared earlier related to our key end markets. The other key assumptions initially provided around our 2020 guidance where nickel prices between $6 and $6.50 per pound, and no significant impact to COVID-19 or from COVID-19.2020, year-to-date, nickel prices have traded roughly between $5 and $5.50 per pound, while this gap provides a headwind to our 2020 financial assumptions, the impact and level of uncertainty generated is relatively small compared to the well discussed challenges presented by COVID-19.We’re taking quick and decisive actions to reduce negative impact from these major economic changes. The incremental cost savings efforts outlined in this call are expected to save the company roughly $115 million to $135 million in 2020. This is an addition to the restructuring actions we announced during our fourth quarter 2019 results and with the segment realignment announced in March.We’ll continue to monitor our markets and work with our customers to ensure that our plans are adequate for the demand that they expect. The new demand expectations provided another opportunity to reassess and reprioritize capital allocations. We began 2020 with a $200 million to $210 million capital investment budget, largely driven by growth projects and maintenance of our world-class assets.Well, it’s clear that our customers will reduce production levels in 2020, the expected return to growth on the 737 MAX and A320 programs over the next several years, coupled with our recent share gains, and new business, requires us to continue to invest some capital for future growth. However, our teams have closely scrutinized project plans and required timing for new assets, eliminated spending on nonessential projects and reduced maintenance CapEx where possible – where that could be possible without significantly jeopardizing reliability.As a result, we now expect to spend between $130 million and $150 million on capital projects in 2020, equating to a roughly 30% reduction versus prior guidance. Despite end-market uncertainty, many of the variables that drive our free cash flow are largely within our control, such as capital spending and inventory levels.Previously, we estimated free cash flow, which excludes U.S. pension plan contributions to be between $135 million and $165 million for full year 2020. Today, using the capital expenditure range provided, assuming lower net income and a favorable release of managed working capital, we anticipate generating free cash flow of between $110 million and $140 million in 2020.The operating teams around ATI have done a great job in a short amount of time to understand the challenge, attack the cash flow drivers and maintain a positive outlook for the year. Before I move on, it’s worth noting that ATI’s 2020 U.S. pension plan contribution is expected to be $130 million. That’s in line with prior expectations. We’ll likely defer midyear contributions until yearend as part of the revised government pension regulations.During the second quarter, we believe that we have sufficient near-term visibility based on our customer-provided orders to give a more detailed estimate of our expected quarterly earnings per share. The second quarter will be the first full quarter impacted by COVID-19. And based on our experience in April, and our forecast for the balance of May and June, we expect a significant sequential revenue and earnings decline.While we will make progress on limiting our decremental margins in the quarter, our cost-cutting actions will not be at full run rate. We expect to continue to reduce decremental margins in the second half of 2020, based upon our implementation timeline around our cost savings actions.Given our current view, demand and revised cost assumptions, we expect an earnings loss of between $0.07 and $0.17 per share in the second quarter, using a tax rate similar to the first quarters. Importantly, we intend to be free cash flow positive in the quarter. I will now turn the call back over to Bob to add some closing comments.
Robert Wetherbee: Thanks, Don. I’m sure it’s clear to everyone on the call that you and your team have been just a little bit busy, but highly focused over the last couple of weeks. And just to be clear, it’s much appreciated.While we didn’t choose the current economic environment we’re operating in, we have an experienced leadership team that understands what needs to be done and the speed that is required. We’ll keep these leadership priorities as our North Star as we navigate these challenging times.First and foremost, as I said earlier, our success begins and ends with the ATI team. Our priority is to keep every team member safe and we have collectively done a great job in that regard so far, with no significant production disruptions from COVID-19 infections. We remain on alert and ensure that our employees have the tools they need to work safely during this public health crisis for as long as required.Leveraging the foundation provided by our team, we take pride in our role as supplier of choice for our customers. We strive to earn the first call when a customer has a corrosion or a high-temperature challenge and appreciate their trust when awarding us with multiyear supply agreements and increased market shares. Each of those customers can be sure that we will serve them with a high degree of operational excellence, advanced process technologies that they expect from ATI.We will be recovery-ready when the time comes. In addition to support for our people and customers, we acknowledge the current economic environment and are taking action to align our cost structure with the reality of future demand in the markets we serve. The incremental cost-outs described on this call totaling approximately $125 million of 2020 savings at the midpoint of our range, built upon our earlier restructuring actions.These efforts are necessary to ensure that we emerge from this period a stronger ATI. That’s our commitment, lean, focused and prepared for growth. Finally, we will remain vigilant about preserving, and when possible, improving our balance sheet. We’ll do this and we’ll continue to generate free cash flows.Our actions in recent years provide us with nearly $900 million of cash and available liquidity, and will be prudent stewards of these assets and work to maintain the strength that we’ve built. In closing, I believe we have the right strategy and our priorities are clear. Over time, our end-markets will recover. We remain focused on creating long-term shareholder value through the combination of materials science, advanced process technologies, and our relentless innovative people.Scott, back to you.
Scott Minder: Thanks, Bob. That concludes our prepared remarks. Operator, we’re ready for the first question.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And the first question today will come from Gautam Khanna with Cowen. Please go ahead.
Daniel Flick: Yeah, hey, guys, this is Dan on for Gautam. Thanks for the question. So we were curious how – like say OE rates were to drop by 40%, is ATI able to remain profitable in that environment?
Robert Wetherbee: Yeah, good morning. Are you talking about specifically the aerospace market? Are you talking…
Daniel Flick: Yeah, sorry, sorry. I’m referring to, yeah, Boeing and Airbus.
Robert Wetherbee: Yeah, right. So I think it’s – if you look at the markets, we’ll give you a tag team here in terms of our response. So from an aerospace perspective, yeah, I think you have to look at the mix of our products. So the jet engine business, I don’t know if we’re going to see, yes, 40%, over time, little bit long, but probably good based on the balance we have with the military as well as commercial airframe and our engine guys.On the airframe side, our business is actually relatively stable there, we’ve expanded our share positions growing, so we’re supplying almost every major aerostructure guy, but it’s been a relatively stable business for our mill products business. But I think you have to look across the breadth of ATI and see the stability of defense, medical and electronics.And certainly, energy is going to go up and down. But I think we’ve rightsized our business and optimizing our cost structure to manage that demand. So our expectation is to be profitable over the long term. Don, you want to add any color to that?
Don Newman: No, I would emphasize, we do have diversification in end-markets. We’ve got great relationships with our customers, we’re synched up with them. And I think the cost actions that we’re announcing, in this call are pretty reflective of the focus that we have to maintain profitability. Those $115 million to $135 million, let’s call it the midpoint to keep it simple, $125 million, that’s $125 million of incremental cost-takeouts that were accomplished within a pretty short period of time, about 45 days.And so, we have a team that understands the business. We understand how to leverage our cost structures to meet demand. You’ll see the same commentary around inventory levels and working capital release. So I think as we see changes in pockets of our business, I think that we’re in a good position to move quickly to react to it.
Robert Wetherbee: Yeah, I think I’d add one more piece to that on the aerospace market. In particular, I think, Dan, the Q2 and Q3 would probably fit into what people would describe as the triage phase, where we’re reacting quickly to the new reality of demand. Then 2021 probably looks like a trough in the aerospace business, such that we want to be profitable in that trough. That’s – and we certainly expect to be cash positive during that period of time, before the initial recovery in aerospace starts to emerge in 2022.Right, so I think we’ve got a window of time here in Q2 and Q3 that we’ll be going through, as Don said, not fully at run rate in Q2, but by the end of the year we should be there.
Don Newman: Yeah, I guess, one more thing I’ll add. I think we’re going to keep it rolling. So as we look at our business, we’re also quite fortunate that even though you read the headlines around end-markets and certain end-markets for certain customers, seeing their businesses drop, we’re in a beneficial spot, because our team has been – has put us in the position where we get the call.And what that means is that we have been quite fortunate in increasing share with customers. So when you at a headline number around build rates, dropping a certain percent. It doesn’t necessarily mean that we’re going to experience the same decline for that customer base, because we may well have picked up incremental share or will be turning on incremental share in a future period that’s going to offset part of that decline. So it’s – I think our diversified footprint is putting us in a pretty good spot.
Daniel Flick: Thanks, guys. I really appreciate that detail. That’s really helpful. And then, just a quick follow-up, do you have any idea on the level of aero destocking expected in 2020 and how long that may last? Thanks.
Robert Wetherbee: Yeah, I think – so first and foremost, from our perspective, we produce to specific customer orders. We do expect some ups and downs back and forth as people adjust. So we don’t really have a clear view of what’s in that inventory pipeline. But I think the majority of that information has been communicated to us. And I think we’ll see some of that in 2021. But it should be pretty much resolved by then.
Don Newman: Yeah. And I would say, even though most of our major customers don’t send us their inventory details, we are in really close contact with those customers. And there’s a real open dialogue around what their demand is. And part of that conversation that happens, in some cases multiple times a week is their underlying demand and what they might have in their pipeline that isn’t impacting it.So we do have some visibility, but those close relationships especially with the large customers is very, very helpful in addressing what you’re talking about.
Robert Wetherbee: Yeah, thanks, Dan. You started the conversation or the question around changes in the aerospace side of our business. I would tell you that we didn’t wait until March to work on our inventories. There were some big announcements late in the fourth quarter, December in particular. And we adjusted our melt schedule almost immediately. And then, going down the path to take melt schedules out and adjust our inventory immediately.And so, it’s not been a land rush so to speak here in the last few weeks. It’s actually been something that was planned and relatively orderly, and in concert with both our major airframe and engine customers. So I think we’re a little bit ahead and a little bit of proactivity in terms of how the inventory is going to flow out.
Don Newman: One thing that I would add on that is, as you look at what’s happening from a demand standpoint, of course, we have long-term contracts, especially on the HPMC side of the business, and with key customers. Many of those contracts have minimums. And so, we’re able to cushion the blow a bit on the downside in terms of their demand dropping. It doesn’t fully insulate us by any stretch of imagination from declines in demand. We don’t mean to imply that. But it certainly gives us a bit of a safety net or a floor, if you will.
Daniel Flick: Thanks, guys.
Operator: Thank you. Our next question will come from Phil Gibbs with KeyBanc Capital Markets. Please go ahead.
Philip Gibbs: Just really curious about these cost reductions that you’re outlining, $125 million at the midpoint, presumably much of that did not hit in Q1. So should we view it as $125 million over the balance of the year made in the last 3 quarters? So, in other words, your true annualized cost reductions are between $150 million and $200 million?
Don Newman: Yeah. So, Phil, this is Don. I’ll take it and good morning.
Philip Gibbs: Good morning.
Don Newman: Yeah, I will – what I would say is, you’re right. The incremental $125 million is not in Q1 results, so $0 in Q1. The way to think about that $125 million is we’re actually feeling really good about the ability. We’ve already started by the way to quote and capture these savings. These are not pie in the sky cost reductions.And so, we expect that we will see steady ramping throughout the second quarter. We should be able to hit a run rate on those savings early Q3 and so have the – largely the run-rate benefit in Q3 and Q4. And again, feel really good about the ability to capture those savings.
Philip Gibbs: And then as that carries over that, call it, $150 million plus run rate carries over to 2021, how much of that is structural in nature? Let’s just say – let’s just paint a picture that revenues for simplicity stay in a range between, call it, 2Q 2020 and 2Q 2021. Would any of those costs come back or majority of these structural at these volume levels?
Don Newman: That’s a great question. So I’ll give you a couple of different answer – elements to an answer here. So first, when you think about the $125 million, I would say, we’re really pleased with the outcome of that initial effort. But as you can imagine, it happened really quick. The $125 million we were really disciplined when we identified it. It’s very orderly. It’s not high level bullet points on a whiteboard. These are detailed cost takeouts with supporting plans. But the reality is, we need to do some more work around a couple of things. One is the structural changes that will allow us to keep these costs out of our cost structures going forward.And I think there’s real opportunity here. I think a placeholder for you right now is probably think in terms of we’d like to keep up the half of that $125 million out of the cost structures in the long-term, so that means structural changes. It’s not to say that we might not be able to do more than that, but we really as a team need to spend some time doing that.And then as you look at the $125 million, as you move over to 2020 or 2021 rather, there’s no magic in crossing that date line. And so there will be a couple elements of cost reductions like we have bonuses as a modest element of the $125 million. Those bonuses won’t be paid in 2020, but then you get to 2021, and the bonus targets would presumably be reset, which means there’s a real potential that bonuses would go back to normal levels.On the other hand, we have a list of things that are not in the $125 million that we’re continuing to work. And so I think this is going – it’s going a great direction. It’s a great outcome for an initial effort over about a 45-day period, and there is more work to come.
Robert Wetherbee: I think that’s right, Don. I think at this point, Phil, 45 days into it, everything is on the table for us. A couple of my leaders would say that the only difference between fixed and variable cost is time. And so we know where we are in the first 45 days and we continue to do that. But we can emphasize or let me emphasize that our primary focus is to minimize the decremental margins that we’re facing by reducing our costs.
Philip Gibbs: And one last one…
Robert Wetherbee: Sure.
Philip Gibbs: And then one last one, if I could. On the – just the side of pension, and then also net working capital. Don, I just wanted to read you correctly that $130 million of pension contributions, you anticipate making this year despite the ability legally to move those out? And then secondarily, what’s the net working capital goal for the balance of the year? Is it something like $200 million, $300 million, just trying to square those 2 things up? Thanks.
Don Newman: Yeah. So in terms of the pension, the federal relief really just allows you instead of making the payments on December 31, you can make it on January 1, okay. So there’s not like a – it’s not a huge relief. I mean, it is a relief intra-year, because we don’t have to make your payments. So that’s great. But it’s not a solution to long-term liquidity or even short-term liquidity really. The reason that we would make the contribution in 2020 instead of 2021, so December 31 versus January 1, is because we get a benefit in terms of the accounting and the calculation of liabilities and contributions going forward, and so that there is some mechanical reason – that there is a mechanical reason why we would choose to do it a day earlier.In terms of our working capital, what I would say about working capital, and if you don’t mind, Phil, I’d like to tie it to our liquidity goal. So right now, we ended the quarter with about $900 million of liquidity. We expect that with ex-pension contributions are going to be cash flow positive. That means if you add $130 million of cash flow or pension contributions, it brings you to kind of a cash flow neutral, if you will.Our goal is, we want to end the year in a position we have at least the liquidity level that we do now, which if you go back and look in history, we’re actually at one of the high points of liquidity, I think, in the company. And so maintaining that, but yet continuing to go after the reductions in, especially inventories, absolutely a priority for us. And so we’re going to continue to go after that to add liquidity. But our first goal is let’s not drop below where we’re at even though there’s a lot of dynamics in the end markets, and then let’s add what we can.
Operator: The next question will come from Josh Sullivan with The Benchmark Company. Please go ahead.
Josh Sullivan: Hey, good morning.
Robert Wetherbee: Good morning, Josh.
Don Newman: Good morning.
Josh Sullivan: Yeah, if we just think about the downturn in 2015 and 2016, just compared to the operations today and the structural changes that you’ve done? Is there any way to either qualitatively or quantitatively think about how ATI is positioned to manage this cycle versus it was in the previous cycle?
Robert Wetherbee: Yeah. Good morning, Josh. Thanks for that. Yeah, I think when we look back, whether it’s 2015, 2016 or even the finance crisis of 2008, 2009, we’re fundamentally a differently structured business than we were back in those times. The 2015, 2016, was clearly related to work stoppage followed by a massive restructuring of our flat-rolled products business at that time. We’ve also from a structural standpoint, seen significant growth in our HPMC segment. The additions of the forgings that came with the Ladish acquisition, just prior to 2015, 2016, we’re certainly seeing the growth in powder in the next generation applications. And I think, that’s been a big part.So structurally, we’re different. In terms of what that leads to is the product mix. I think, we’ve had a steady cadence over the last 18 months of long-term agreements that have increased our business content as well as the margin enhancements that come with that in the HPMC segment. And I think we’ve made a significant shift in our product mix in the Advanced Alloys & Solutions segment with a focus on value over volume. And I think the changes we made to close our pension to new entrants’ kind of takes care of that. We’ve got some increased flexibility with our workforce to respond quickly to changes in our business.On the bottom line, I think, is we’re a different company than we were back then, more resilient going into the crisis. And as Don mentioned, our liquidity is in a peak position.
Josh Sullivan: Right. Thanks for that. And then just with regard to the continued strong outlook for the defense business, the F-35, the submarine business, those are complex supply chains. Are you seeing any logistic challenges just given that complexity? Do you think there’ll be any delay there? Or is it still a pretty strong pull-through?
Robert Wetherbee: So my team will be happy to hear the answer is nope, we’re not seeing any real supply chain issues. Candidly, early on in the COVID-19, there was a little bit of a challenge with just ballistics testing with the government, but that’s pretty much behind us. And we don’t see any real disruptions. And we see – actually, I would never call it business as usual, because that’s a growing part of our business for us. But it’s been very stable and the growth is set to continue based on the backlog that we have.
Don Newman: A bright spot.
Josh Sullivan: And then can you just provide any color, what you’re seeing on the ground in China with the STAL operations? I know you said you expect an increase in the second half of the year with consumer electronics. But is there any way to characterize how STAL’s markets are reopening, just currently on the ground?
Robert Wetherbee: Yeah. So if you look at China, obviously, the Lunar New Year, everybody knows what was happening. And so we saw a significant decrease in demand in February, which was planned. And as we reported, we had Q1 growth this year over last year. I would talk about 2 specific markets, consumer electronics took a dump down in Q2. I think we’re expecting that to look like a V-shaped recovery in the electronic space, when we get into the second half. I think in automotive, which we don’t – that’s not a core strategic market for us, but it’s important for precision rolled strip. And that market is down about 25% compared to 2019. And candidly, we expect that to be flat for the balance of the year unless there’s some other kind of government intervention.And the other thing that we’re seeing in with our STAL businesses going beyond China and growth in the broader Asia, and as people get ready for the next generation of electronics, whether it’s the 83-inch flat screens or various other things, the price points on those will come down to the point where demand is up. So we expect growth in the Asian region for STAL outside of China in the second half of the year as people get ready for the year-end holiday season.
Josh Sullivan: Yeah. Thank you.
Operator: The next question will come from Paretosh Misra with Berenberg. Please go ahead.
Paretosh Misra: Thanks. Good morning. Yeah, thanks for taking my question. So first, on this titanium contract with a major OEM that you mentioned. Can you provide some more color on that, like how is it versus your expectations? What sort of ramp-up should we expect in the second half and then in 2021? And then I realize you have withdrawn your guidance, but was that already included in your previous guidance for 2020?
Robert Wetherbee: Why don’t you take the guidance question, Don? And I’ll come back on the contract.
Don Newman: You go first.
Robert Wetherbee: Okay. So on the contract, we’re not really going to talk too much about it today other than, I would say, probably not too surprising that our aerostructures’ customers have their plates full at the moment adjusting their contracts. It is multi-year, and it is titanium mill products. And we’ll have more information as we go forward. But we’re excited about it, because we should see production in late Q4 2020 to increase our participation going into 2021.
Don Newman: Yeah. What I would say in terms of guidance is we are getting orders. So you would see the benefit of some of the production and cost absorption in 2020 because of it. But in terms of delivery of those, I would expect no material deliveries in 2020, but you would expect that to hit 2021.
Paretosh Misra: Got it. And then about your powder production asset base, I believe, you said that you’ve shutdown 2 small plants in Pennsylvania. So can you just maybe talk about how many plants are operating? Or what’s the total capacity utilization right now?
Robert Wetherbee: Let’s see, across the world, we’ve got a lot. So I would say the only 2 that are down are just in the powder business. One of them was related more to the aerospace demand, actually, both of them are related to the aerospace demand, and we were able to consolidate that production in other facilities. So I would say on the broader utilization, those are the only 2 plants that we really have down. What we’re doing to manage our capacity is what we call temporary or rolling idles, where you might see us take a mill shutdown for a week.We took our Carolina facilities down for a week or 2 depending on what kind of operations they were. Don talked about what we’re doing up in our forgings business. So what you’ll see is – if you say, hey, what are we running, I would say, most of our most of our major facilities are probably down 1 week a month in some shape or form, so probably about a 75% utilization.Now, the reason we’re doing it, is to get our inventories in line and making sure we can make the right stuff at the right time for our customers, and then make sure we understand what the long-term demand is going to be, long-term being defined as 2021 at this stage, and then, adjusting our crewing, to match through the balance of the year.
Don Newman: Yeah, and just for some perspective for those plants that were idled, they would represent probably something in the range of 25% to 30% of that production capacity, so temporary idling and not a huge percentage of our footprint. But it does certainly help to optimize the production process and the plants.
Operator: Our next question will come from Matthew Fields with Bank of America. Please go ahead.
Matthew Fields: Hey, everyone. I want to ask a couple of balance sheet questions. I know you said $260 million of availability on the revolver as of March 31. And I understand you repaid the $300 million in April. But I thought the revolver was $500 million in total. With $300 million drawn, I’m not sure how you get $260 million as availability. Is that including some of your accordion option on that revolver?
Robert Wetherbee: Yeah, the way to think about it is, so there are kind of 3 elements to the facility. If you’d let me – if I can just describe those to you. So you have your $500 million revolver, that’s the headline. And we have a modest amount of letters of credit that are outstanding against it. Something in the range of about $50 million, then you got a term-loan element that is outstanding, that’s a $100 million.And then, the final piece is the delayed draw $100 million that I talked about in my script that we can draw by the end of June. When you look at the availability, it does move from period to period depending upon the underlying collateral base. And so, it depends upon the accounts receivable and inventory and whether or not they happen in that period to qualify for draw rates.And so that’s where some of the dynamic around available capacity can change from a $500 million headline to a different dollar amount. But generally, the way to think about it is $500 million revolver, 2 $100 million term loans, and we’ve got pretty much near full availability, where we’ve drawn the term loan, first term loan. And we’ll – we may well draw the second term loan.
Matthew Fields: So it’s $160 million available on the revolver, and then $100 million potential, if you draw the second term loan. Is that the way that’s placed? And then…
Robert Wetherbee: You got it. And that was during – that was after we had drawn the $300 million. You’re right.
Matthew Fields: Right, right, right.
Robert Wetherbee: You got the math. You got the math.
Matthew Fields: And that excludes the $200 million accordion feature you have on your revolver.
Robert Wetherbee: That is absolutely true. And so, good point. That’s another opportunity for us to potentially increase liquidity. But as you can imagine, Matt, one of the things we look at is our inventory and AR balances. Right now, we have more collateral than we have capacity under the revolver. And so, one thing we evaluate is how do we optimize our collateral base, yeah, relative to the ABL facility. And that’s an element that we look at as a potential lever to pull if it makes sense. But, good catch.
Matthew Fields: All right, thanks. And then, sort of related to that, you have that $100 million delayed draw term loan at a ridiculously low rate. I think it’s LIBOR plus 125.
Robert Wetherbee: Yeah.
Matthew Fields: Your 27 notes are trading at $0.80 on the dollar. I under understand that, first and foremost, preserving liquidity is the key, but why not issue some of that delayed draw or issue, boost the revolver a little bit and buy back note to the discount, capture some capture some debt discount and reduce sort of overall debt burden?
Don Newman: Yeah, you’re 100% right. So, first, the priority for us is we want to make sure that we have ample liquidity, especially during this time of disruption and get better line of sight to what this down-cycle looks like, to make sure that we got the proper amount of liquidity in the business.Then you’re right. What we would end up doing is – if we had excess capital available, based upon our assessment, we would start hunting for what’s the proper place to deploy that capital to get max return. And you’re right, there’s probably an interest arbitrage opportunity for us, with some of our outstanding debts, so you’re dead on right.
Operator: Thank you. Ladies and gentlemen, this concludes our question-and-answer session. I would like to turn the conference back over to Bob Wetherbee for any closing remarks.
Robert Wetherbee: All right. Thank you. And thanks for joining us on the call today. Stay healthy. And thank you for your continued interest in ATI.
Scott Minder: Thank you, Bob. Thank you to all the participants and listeners joining us today. That concludes our first quarter 2020 conference call.
Operator: Thanks for attending today’s presentation. You may now disconnect your lines.